Operator: Good afternoon, ladies and gentlemen, and welcome to the Vermillion’s Fourth Quarter 2020 (sic) [2019] Conference Call. My name is Doug, and I will be your coordinator for the call today. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, we will open the call for your questions. As a reminder, this conference is being recorded today. Leading the call today are Valerie Palmieri, President and Chief Executive Officer; Bob Beechey, Chief Financial Officer; and Chris Goulart, Senior Vice President of Commercial Operations. After the prepared remarks, we will open the call for Q&A. Before we begin, I would like to remind everyone that statements made during this call, including the Q&A session, relating to Vermillion’s expected future performance, future business prospects or future events or plans are forward-looking statements as defined under the Private Securities Litigation Reform Act of 1995. Although the Company believes that the expectations reflected in such forward-looking statements are based upon reasonable assumptions, actual outcomes and results are subject to risks and uncertainties and could differ materially from those anticipated due to the impact of many factors beyond the control of Vermillion. The Company assumes no obligation to update or supplement any forward-looking statements, whether as a result of new information, future events or otherwise. Participants are directed to the cautionary notes set forth in today’s press release, as well as the risk factors set forth in Vermillion’s annual report and third quarter 10-Q filed with the SEC for the factors that could cause actual results to differ materially for those anticipated in the forward-looking statements. At this time, I’d like to turn the call over to Valerie Palmieri, President and Chief Executive Officer. Thank you, Valerie. You may begin.
Valerie Palmieri: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. This afternoon, we will review our fourth quarter and full year 22019 accomplishments, financial performance, as well as provide an update on current actions we are taking to manage the immediate COVID-19 disruptions and the longer actions to come out stronger when this is all behind us. We firmly believe our technology and its pipeline will be vital to reduce health care burden and cost overall. It is all about getting the right patient to the right doctor and finding the cancer at earliest stage, which is the core of our Company. I will focus first on the impact of a global pandemic, which it’s having on our Company, as that situation is obviously top of mind for investors. And we will also discuss the trajectory of the business prior to the crisis. We have begun to see an impact on volume during this last week. We have a four-part strategy to deal with the pandemic. Number one is to ensure the employee safety and business continuity. We have adjusted to 100% remote for all office-based employees, nationwide. We are also having our sales team no longer make face-to-face calls in offices to ensure both employee, customer and patient safety. The lab operation requires onsite essential employees. That being said, we have stratified the team in such that, if an infection occurs, it would be localized and not impacting entire workforce, thus the lab could continue to operate. In addition, we have three to six months of reagents in stock, depending on the volume. We are also in conversation with the manufacturer to ensure a consistent supply over the six-month timeframe as well. And one last point, we are proactively managing the employee base with all employed check-in Zoom video calls to ensure we are not just taking care of the physical aspects of the business, but also the mental wellbeing of all. Number two, cash preservation and liquidity management. We are naturally reducing all travel, entertainment and discretionary spend as well as deferring investments where possible as an offset to expected reductions in revenue. We are also maintaining our commitment to critical product development while reducing spend on higher risk research. In regards to capital management, Bob will review our strategy with respect to federal and local loans, which we intend to fully take advantage of. The third part of our plan is maximizing productive use of employee time and emerging from the crisis stronger. Our commercial team is focused on maintaining relationships with existing customers remotely and ensuring we resume our trajectory upon return to normalcy. We are also developing virtual territory management through a number of tools including virtual sales rep visits, digital marketing, social media in a provider, patient ordering portal. For new prospects, remote learning sessions are being developed to continue to expand our customer base during this pandemic. Our billing and collections teams are optimizing their scripts as well and spending more time on collections of AR and appeals of denied claims to ensure maximum collection efforts. And the last part of our plan, number four, is continuing to work on a product development pipeline and planning for recovery. While we’ve reduced our longer term investment in discovery, we are capitalizing on this time to focus our efforts in the development of OVAnex and EndoCHECK. These studies will initially be prospective and retrospective, and we are continuing all activities to get these studies completed. I am now turning to the fundamentals of the business, as we continue to be pleased with our trajectory prior to COVID. We disclosed in our earnings release today, three significant developments. Number one, Cigna has executed preferred in-network contract agreement with us finally. This in-network agreement adds another 16 million lives to our contacted plans, and it includes not only OVA1 but Overa and our ovarian and carrier genetics testing panels as well. This was a nice win. The pricing will be affected April 1, 2020. While we do not disclose specific contract pricing, we are pleased with the final prices to which we agreed. Number two, we are fast track revising our state of Connecticut Department of Economic and Community Development financing. Prior to the COVID-19 event, we recently concluded an amendment to our agreement with the state of Connecticut relative to target employment levels. As you recall in the past, we announced a $4 million loan of which we received $2 million in 2016. The additional $2 million is based on revenue and revised employment milestone, which we view as achievable. And lastly, on the payer front, we have made considerable advances in our state Medicaid coverage. We have added a total of nine state Medicaid plans to our positive coverage list with major States being New Mexico and South Carolina, which are expansion territories for our team. We also have many more on the way. Having this coverage in place is critical to managing this underserved population as we believe OVA1 is the only technology available today that has adequate sensitivity for early stage ovarian cancer detection, and specifically in African American women. Chris will cover Vermillion's commercial momentum in detail, but I just want to summarize the impact of our investment in commercialization. We have had four consecutive quarters of strong growth from Q1 to Q4 2019. Our OVA1PLUS volume growth year-over-year, 27% in Q1, 66% in Q2, 82% in Q3, and in Q4 we recorded year-over-year growth of 93%. We actually were running much higher early in Q4, but we did have some holiday impact in late November and December 2019, which tempered growth, which Chris will discuss in detail. We did resume our trajectory post the holidays in Q1. One last comment before we move on to the commercial update. The growth curve which we have experienced in last six months, post hiring of the second phase of sales reps, has now surpassed the volume per day, driven by quest at the height of OVA1 adoption. We believe this is mainly driven by the adoption of our second generation technology Overa, as part of OVA1PLUS. And we have truly solved for the specificity gap and we are still in the early innings of changing the standard of care in the U.S. At this point, I'd like to turn the call over to Chris to share our commercialization results in the fourth quarter, as well as discuss our innovation pipeline. Chris?
Chris Goulart: Thank you, Valerie. I'm pleased to provide an update on our commercial efforts. We believe our two-pronged approach with the decentralized platform channel and the direct sales channels is the right strategy to drive adoption. The decentralized arrangement should help to drive test adoption, as well as integrate into the care pathway of the respective institutions in super group. These large deals have a significant lead time, and some were very close. But we are uncertain at this point if the deals we are working on will lose some momentum due to the COVID-19 pandemic. We will continue to work in this model as we seek to drive wider adoption of OVA1PLUS and our expanded product portfolio. Moving on to our direct sales channel. Our sales force is another quarter further entrenched in their respective territory. I am pleased to report that OVA1PLUS continues to gain traction in the marketplace. In Q4, this fully staffed sales force made considerable gains with 8% quarter-over-quarter volume versus Q3, and 93% growth year-over-year. Please note the sequencing of the holidays on the calendar in late Q4 gave rise to the three weeks, which were outliers in the quarter. We have provided an earnings deck with a graph of weekly sales trend lines. And one could clearly see Thanksgiving and Christmas/New Year holidays as outliers from the trend line. We also continue to see momentum in Q1 2020. But, as we discussed earlier, it is too early to conclude where we stand in these early days of this pandemic. In terms of total ordering physicians, 2,629 physicians ordered OVA1PLUS in the fourth quarter, an increase of 1,189 from Q4 2018, which had a total physician count of 1,440, a growth of 83% year-over-year. As compared to Q3 2019, we grew customers 66% year-over-year. We actually increased our overall customer growth year-over-year Q4. With regards to new physicians, I'm pleased report that we continue to see growth in new physician additions. During Q4 2019, we added 524 new physicians compared to 326 during the same period in 2018, an increase of 61%. We will be focused on maintaining these customers through the pandemic and believe we will resume the growth trajectory and accelerate it with new product introduction. I would also like to provide an update on our upcoming products and enhancements. First, we are closing the disparity gap on ovarian detection, with two published papers. And in December, we initiated a study with Einstein Medical Center, the largest independent academic medical center in Philadelphia. The goal of this study is to review the disparity in African American women as well as other ethnicities. Based on our published data, OVA1 is 2.38 times more sensitive than CA125 in African American women, 79.2% versus 33.3% sensitivity, using the 2007 ACOG cutoff. Second, I would like to update everyone of our third generation ovarian cancer risk assessment test, which is now branded as OVAnex. We have developed IRB approved prospective and retrospective study to interrogate the sensitivity and specificity in the Watch and Wait cohort. As discussed on prior calls, OVAnex is designed to address the Watch and Wait population, which is monitoring two to four times per year per patient. We believe that this test will help clinicians and patients to better understand the risk of malignancy and if surgery can be delayed. We also discussed on prior calls our future test, which is an aide in the detection of endometriosis. The brand name for the test is EndoCHECK. This is a large unmet need in the OB/GYN community as endometriosis treated based on symptoms, and is unable to be detected without a surgical biopsy. EndoCHECK will address the patient population with the TAM [ph] in the U.S. of roughly 6 to 7 million. We will provide further update on future calls as to the anticipated launch date of our prospective trial. Lastly, we have another test in the pipeline, which is now branded as OVA inherit. [Ph] It is based on our seven protein biomarkers interrogated by a new machine-learning algorithm to monitor those who are genetically predisposed with genes such as Taco 1 and 2. Ova inherent will have an algorithm trained for this asymptomatic, high-risk population. Currently, clinicians can order CA125 in conjunction with ultrasound to assess risk. We feel that our algorithm will outperform the current standard of care and provide better early detection. Moving on to our genetics offering, our growth continued. We recently made changes to our channel and our service offering to prepare for our standard offering of OVA1PLUS risk assessment in conjunction with hereditary breast and ovarian cancer panel. We are planning to launch in 2020 a combined report, which will allow clinicians for the first time to see OVA1PLUS results along with HBOC status on the same report with an interpretation. This will give clinicians an opportunity to evaluate protein and genetics in the evaluation and management of patients for ovarian risk of malignancy.  Coupling our OVA technology which genetic predisposition is essential for proactive patient management, using a multimodality approach. Despite COVID-19 we anticipate making progress on our portfolio development. And we are very excited about the formal rollout of our product pipeline. Our new products will impact the entire patient life cycle, the age of puberty with EndoCHECK, the Watch and Wait with OVAnex, the high-risk screen with OVA inherit, the surgical risk assessment with OVA1PLUS. Please see our new Investor and Earnings deck at vermillion.com. At this point, I would like to turn the call over to Bob for a review of our financial results. Bob?
Bob Beechey: Thank you, Chris. Chris and Valerie have articulated the continued volume growth in the fourth quarter of 2019 and first quarter of 2020. I would like to comment on our profitability trends, cash preservation and liquidity strategy as well as NASDAQ listing status. The trend in profitability has been strong with gross profit on OVA1PLUS for the fourth quarter at 48% as compared to the prior year fourth quarter of 36%. The increased year-on-year gross margin percentage is primarily driven by volume leverage offset by a decline in price. Sequentially, gross profit margin was down from Q3 to Q4 from 53% to 48%, driven by increased in investment in kits as we expand the customer base. Our average unit price was $333 in the fourth quarter versus $366 in the fourth quarter of 2018. The main driver of the year-on-year decline was payor mix with substantial increase in patients’ direct out of pocket payment in specific geographies. The $333 in the fourth quarter is down slightly from the third quarter AUP of $345 as we had some revenue catch-up in the third quarter from prior periods, which did not recur in the fourth quarter. We've been refining our estimates to be more accurate over time as we gain more experience with payors. As Valerie mentioned, we've made progress on the Cigna contract as well as Medicaid credentialing to improve our price over time. We're also driving insurance submissions versus allowing patients to pay out of pocket. In addition, CMS recently extended the PAM price update process from 2021 to 2022 for the 897 Medicare price. [Ph] The maximum downward adjustment allowed is 10%. So, we have limited downside in that element of our pricing. Our cash utilization for the fourth quarter was $2.9 million, which continued our downward trend. Our cash balance at December 31, 2019 was $11.7 million. As we announced today, we successfully amended the terms of our state of Connecticut financing with respect to the target employment levels in the state. The revised employment milestones are such that we anticipate achieving them in 2020. We're also closely monitoring government loans and grants at the state and federal levels as the regulations and legislation get finalized. We'll take full advantage of all such assistance to maintain our assembled workforce to avoid a start-over of our commercial operations post COVID-19. Regarding our NASDAQ listing status, as we disclosed in January, the NASDAQ granted us an extension to regain compliance with the minimum $1 bid price by July 27, 2020. Our intention is to achieve a compliance above $1 trading price prior to the deadline, primarily driven by significant strategic partnership announcements. We’re nevertheless closely monitoring NASDAQ position on if they will consider issuing extensions due to the term pandemic. At this time, they've made no formal changes, but they have indicated they're continuing to evaluate the situation. We previously announced the wind-down of our IVD business, which was completed in the fourth quarter. We elected not to present the business as discontinued operations, as the closure did not represent a strategic shift. Our primary motive was to allow full focus on our core ovarian business, and not allow the IVD business to distract from those efforts. In addition, the IVD results of operations are separately disclosed in the financials, enabling appropriate analysis of the impact of the closure. I'll now turn it back to Valerie.
Valerie Palmieri: Thank you, Bob. Before we open up the call for Q&A, let me restate our optimism for building the Company for sustainable growth for the near term and long term. We are all adhering to the government guidance to bend the curve on the spread of COVID-19 and are hopeful this will come to a swift conclusion as soon as possible. We are striving to strengthen our positions during the restrictions we are all experiencing in order to come out this much stronger in the end. In parallel, we are executing quickly on our larger mission to serve the 20 million women in the U.S., starting with ovarian cancer risk assessment, serial pelvic mass monitoring, and eventually tackling the largest disease endometriosis. Keep in mind, the hereditary ovarian cancer monitoring test, OVA inherit over here it, it is incremental to this market, and this product will be for women with and without [indiscernible]. Ovarian cancer accounts for more deaths than any other cancer of the female reproductive system and is the only gender specific cancer with greater than a 50% mortality rate. Our working products are at the forefront of changing the standards of care in the detection of ovarian malignancies. We believe we are helping close the gap in detection and more importantly, survival for women. For 2019, we set out with four major goals. Number one, driving continued test adoption and volume growth. We posted Q4 year-over-year volume growth of 93%. Number two, increase growth of our customer base. We finished the year with Q4 year-over-year growth of 83% with majority of reps having only 6 to 9 months in the field through Q4. Number three, increase innovation with evidence development, which resulted in five new publications and five new patents. And lastly, leveraging our overall infrastructure to drive margin expansion. And we have seen OVA1PLUS gross margin expand from 26% versus 46%, full year, year-over-year. In terms of Q2 2020 goals for volume, customer growth and profitability, we will be able to give more clarity as COVID-19 progresses. In the near-term, we believe OVA1PLUS coupled with our disparity differentiation and genetics will become the standard of care in pelvic mass risk assessment for ovarian cancer. For the longer term, we are also moving forward on our planned launch of our OVAnex Watch and Wait, EndoCHECK for endometriosis, and lastly OVA inherit for high-risk genetic predisposition monitoring. Our end goal is incorporation of protein, gene and other modalities to detect gynecologic disease, which cannot be detected via traditional biopsy. In time, our goal is to become the liquid biopsy standard for all these diseases inclusive of all ages, stages and most of all, all ethnicities. It is now time that, all women of every socioeconomic background receive the best possible care, and we are proud and excited to make that happen. We are now happy to open the call for Q&A and answer any of your questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Jeb Terry with Aberdeen Investment Management. Please proceed with your question.
Jeb Terry: Good afternoon. Valarie? Hello?
Bob Beechey: We can hear you, Jeb. This is Bob.
Jeb Terry: Hey, Bob.
Valerie Palmieri: I'm sorry, Jeb [Multiple Speakers].
Jeb Terry: So, can you refresh what your headcount is total and then what's your headcount in your sales force is? And how you view that going forward? It sounds like you'll be able to retain everybody.
Valerie Palmieri: Yes. So, right now, today, we have 20 reps in the field and we have -- as we talked about some of the expansion territories, so it's not necessarily additional headcount right now. We've looked at some territories because those -- i.e. adding Cigna and actually getting Cigna priced. We have territories that are now expansion. So, the headcount total is 20, and we intend to keep it at 20.
Jeb Terry: Okay.
Chris Goulart: [Technical Difficulty]
Jeb Terry: Okay. And so, relative to the current situation, I gather then virtually all your reps have succeeded in winning business. And can you give us a sense of how the year started out on the -- following the strong fourth quarter? I know all bets are off as far as what this quarter is like. I'm just kind of curious, if you could comment on what the early momentum might have told you about the acceptance.
Valerie Palmieri: Yes. No, I would say that early momentum was very strong. So, we mentioned that we had some hiccups during the holidays. What happened during the holidays was because Christmas and New Year was Wednesday, we found doctors were taking the entire weeks off. So, it's almost like we lost a couple of weeks. And you can see a chart, actually we have earnings deck chart. We're doing something different as of this earnings call is a debt chart just to show you the picture of those weeks and you could see the trend lines. So, we were trending, and this is actually in the chart. We’re on annualized run rate of 16,000 to 17,000 as we were leading the year. And we've continued that trajectory in Q1 as well. And, we have -- up to last week, we saw the volume was continuing and then we've seen last week, we've seen some fall off. And I think it's pockets. I think the fall off that we're seeing, of course, due to COVID is in certain hotspots, offices are closed, other parts of the country are not moving as fast as let's say, New York City. So, I do think that there is going to be a transition over time as this wave of COVID goes over the country. But, so far, in Q1, we are very excited about the momentum coming in Q1.
Jeb Terry: So, as we speak, there are still tests being performed and doctors are still seeing patients to lesser, but still…
Valerie Palmieri: Yes. I have to say, depending on the day -- the volume could be down depending on the day. But part of the problem is we don't understand, which percentage of the population we are testing were acute versus how many had chronic pain. So, the acute patients probably are getting the blood test versus chronic pain. Maybe they're dealing with it and it's going to be volume, in the future. Also, we don't understand what percentages of the specimens are collected via annual exam. So, it's some of the -- we're still early in this. So, I don't want to make any conclusions just yet, but I'd say that our test is a little bit different than annual exams, screening test. But we do know in certain areas of the country too that elective surgeries are being delayed. So, I think time will tell and we'll get more information. But going into COVID, we were very pleased and even coming out of COVID and a week into COVID, we're sort of in a watch and see mode.
Jeb Terry: And then, could you -- again, I know you get tired of these questions about reimbursement, but just help us understand where you are now as Cigna is on board, and you fortunately added some more -- got some more state approvals?
Valerie Palmieri: Yes. So, two things. One, as you know, we were looking forward to this getting Cigna contract completed for a while and getting this done. I think, the guys done before COVID to [indiscernible] is going crazy right now. But, getting this done is a big win for us, but it's -- not only a win for OVA as we pointed out in the earnings call, it’s a win for OVERA, which is our second generation test as well as more importantly is the genetics panel. So, we now are in contract with Cigna on genetics and in contact with Cigna for OVA technology. And those will have, as I said, as of April 1st were going to begin billing Cigna directly. And that will have -- that current volume right now, the pricing for that volume is -- most of that's a patient price, which is the lower price. So that volume immediately flips to a Cigna price. And then the second part of your question is the Medicaid. Medicaid is I believe a huge opportunity for us from two folds. One is, it's a population that’s been underserved. Number one. Number two is, we know the technology that's been -- that we compete against is the 40-year old standard of care. And we do know that technology is -- has subpar performance with African American women, and even in our studies in Asian women in Philippines. So, we do believe that Medicaid could be, quite frankly, a large opportunity for us. And I would assume too with COVID there's going to be some demand that's lower now, but then it will pent up once everyone can get out of their houses and go see their doctors or go to the clinics.
Jeb Terry: Very good. For some reason, I'm thinking Cigna revenue per case could be over 500. Is that -- am I recalling that correctly?
Valerie Palmieri: We don't usually disclose pricing. But yes, so I would say, it's definitely north of 500. And I’d say too, on the Medicaid side, I didn't mention the pricing on that, but the Medicaid is also priced very well. And you know our Medicare price is at 897.
Operator: Our next question comes from the line of Jack Fraser with Seamark Capital. Please proceed with your question.
Jack Fraser: I just want to make sure I heard you correctly. So, you're suggesting that you're seeing disparities confirmed in the Philippine population. Did I hear that right?
Valerie Palmieri: Yes.
Jack Fraser: And do you feel those disparities in order of magnitude? It's kind of early days to call it out, obviously, but do you feel those disparities are in the neighborhood of disparities we've seen in the African American population, or do you feel that they are a bit muted from that but still significant?
Valerie Palmieri: I think, it's in that neighborhood and that ZIP code, it’s a little bit different without going to details. But yes, the Philippine data was quite frankly how we started to really understand this. And we will be having more details regarding the Philippines. This is not public domain right now. But, that study will be coming to close very soon, at the end of this year. And so, we will be -- and so, there may be multiple papers coming out of this instead of just prospective study with our generation two tests. There will be multiple papers coming out with the Philippines data.
Operator: There are no further questions in the queue. I'd like to hand the call back to Valerie for closing remarks.
Valerie Palmieri: Thank you. In closing with the fluid COVID situation, we're doing the right things to drive sustainability and growth. With our commercial footprint, a guideline endorsed and differentiated test, a differentiated portfolio of tests within the same call point and substantial payor coverage, we believe we are in a position to support continued growth and profitability. Our end goal is to serve a large global pelvic mass population in overall women's health market with a platform coupled with proprietary science and data tools, which will drive better health and wellbeing to each patient we serve. Thank you for joining us today. And we appreciate your support and interest in Vermillion.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.